Operator: Good morning. My name is Erica, and I will be your conference operator today. At this time, I'd like to welcome everyone to the FMC Technologies' Fourth Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Matthew Seinsheimer, you may begin your conference.
Matthew Seinsheimer - Director Investor Relations: Good morning, and welcome to FMC Technologies' fourth quarter 2015 earnings conference call. Our news release and financial statements issued yesterday can be found on our website. I'd like to caution you with respect to any forward-looking statements made during this call. Although these forward-looking statements are based on our current expectations, beliefs and assumptions regarding future developments and business conditions, they are subject to certain risk and uncertainties that could cause actual results to differ materially from those expressed in or implied by these statements. Known material factors that could cause our actual results to differ from our projected results are described in our 10-K, 10-Q and other filings with the SEC. We wish to caution you not to place undue reliance on any forward-looking statements, which speak only as of the date hereof. We undertake no obligation to publicly update or revise any of our forward-looking statements after the date they are made, whether as a result of new information, future events or otherwise. I will now turn the call over to John Gremp, FMC Technologies' Chairman and CEO.
John T. Gremp - Chairman & Chief Executive Officer: Good morning. Welcome to our fourth quarter 2015 conference call. On the call today is Maryann Mannen, our Chief Financial Officer and, Doug Pferdehirt, our President and Chief Operating Officer, who is joining us from another location. I'll focus my comments today on 2015 performance and our market outlook for the current year. Maryann will provide specifics on our quarterly and full-year financial performance as well as our financial outlook for 2016. We'll then open up the call for your questions. In 2015, global upstream spending declined approximately 25% as a result of falling commodity prices. North America markets were impacted greater the most, experiencing the steepest activity decline seen in nearly three decades. Clearly, this was a very challenging year for the energy industry. FMC Technologies entered the downturn with solid operational momentum and we responded early with aggressive restructuring actions across all of our businesses. This wasn't just a reaction to declining activity levels, it was a fundamental change in the way we manage our business, aimed at providing meaningful and sustainable cost savings. Our efforts focused on driving better execution, product and process standardization, innovative technology and integrated business models. These are important steps that we believe will put the company in an even stronger competitive position. In 2015, we were able to deliver on several key metrics. In Subsea Technologies, margins increased for a fourth consecutive year. For the full year, excluding all restructuring charges, we achieved Subsea margins of 15.1%. The strong results were driven by the strength of our backlog and the continued trend of solid execution. We also finished the year with $3.1 billion of inbound orders in our Subsea Technologies segment, achieving our full-year target of at least $3 billion. For the quarter, our Subsea inbound orders totaled $490 million, which included the recently announced award for the Woodside Greater Western Flank Phase 2 Project on the North West Shelf of Australia. This was an important award from a longstanding alliance partner with the leverage expected to extend through 2018. As we look forward, operators are now not only challenged to improve project economics, but the sharp decline in oil prices is limiting their capital spending plans. Customer priorities continue to evolve but the message is clear. Operators are determined to live within their cash flows, putting the burden of balancing budgets on capital spending. Although it's unlikely that today's commodity prices reflect the assumptions used for long-term project economics, low oil prices do impact current cash flow. The increasing level of commodity price volatility creates even more uncertainty around these cash flows. And even though project economics are improving, the pace of large-scale developments would be driven by operator cash flow and this is different than past cycles. But even in this more challenging environment, we have been successful in working with our customers to bring down costs and make projects economic. Our initiatives are working. The award for the Woodside Greater Western Flank Phase 2 Project is a great example of this success. With this project, we adopted the same standard that had been used on a previous development and significantly reduced the project management and engineering hours. We also used existing tools to install and test the equipment. By using standard FMC specifications, we were able to reduce inspection points by more than 50%. And finally, we linked out the documentation process for additional savings. Much of this success came from the operator's willingness to accept the vendor-based approach versus the traditional client-specific requirements. As we think about our Subsea order potential for 2016, I want to talk about the major components that make up our Subsea inbound – services, small projects, and large projects. Broadly speaking, we expect Subsea service orders to remain fairly resilient, with only modest declines driven by the level of installation work. We expect a somewhat lower level of order activity for smaller projects in 2016. These projects are not immune to spending reductions, but they typically have lower cash outlays and can provide operators with a relatively quick payback. Now, forecasting order levels for larger projects is a challenge in the current environment. There are a number of large projects that we're tracking, and we do see the potential for some of these projects to be awarded in the current year. However, we don't foresee any $0.5 billion to $1 billion mega projects being awarded this year. And that will make it difficult for us to match the level of Subsea orders that we received in 2015. Despite the Subsea order uncertainty, we as a company remain focused on our initiatives to improve deepwater project economics. We also believe that we can do even more with our integrated business models. And that's what we're doing with our Forsys Subsea joint venture with Technip. Earlier this week, the joint venture announced the award of another integrated FEED contract, this one from Statoil for the development of their Trestakk field. We're encouraged by Statoil's willingness to adopt a different business model. The Forsys Subsea approach is gaining traction and Trestakk is an important example of that progress. Our Subsea business cost structure, we believe, has the potential for significant savings. Specifically, we're focused on optimizing our global manufacturing operations, standardizing our processes and product offerings, and further integrating our global supply chain. These actions will provide sustainable structural benefits that will ensure that we retain, if not improve, our cost advantage. At the same time, we will preserve our core engineering and project management capabilities. Further, we'll continue to invest in new technologies and expand our customer relationships. Collectively, these actions will strengthen our Subsea business and ensure that we're prepared for an eventual market recovery. Let me now turn to our Surface Technologies segment. Revenues for the quarter were down 12% sequentially. However, once we adjust for all charges, we closed out the quarter with an adjusted margin just above 10%, despite the severe activity declines posted throughout North America in 2015. Activity levels for international Surface Wellhead business held up sequentially, but we're seeing the impact of pricing pressure as a result of the deteriorating global market. We expect activity levels outside of North America to remain resilient in 2016. We've moved aggressively to streamline our North America business, and our actions have been focused on more than just responding to the lower activity levels. We're approaching this market in a fundamentally different way. We've restructured our management organization, consolidated our service lines and integrated our products and service offering. These actions will create greater efficiencies and drive a better operational performance. And they will further improve our position in the North America onshore market. This approach has been a key driver in expanding our customer base and resulting in new contract awards. Let me end with two main points. First, deepwater operators are behaving differently in this current cycle. Cash flow and uncertainty are affecting near-term decisions. But we are making an impact on deepwater project economics. We're driving cost lower and reducing operator risk through product standardization, new technologies and new business models. The Woodside Greater Western Flank and Statoil Trestakk projects are two tangible examples of our success. Second, we are intensely focused on what we can control, taking aggressive actions across the entire company. Most importantly, our restructuring activities go beyond workforce and facility reductions. We're using the downturn as a catalyst to fundamentally change the way we manage our organization, so that we can sustainably deliver our products and services in effective and cost-efficient manner regardless of the market conditions. Maryann will now take you through the financial details in the quarter and for the full year, and provide a more detailed explanation of our 2016 expectations.
Maryann Mannen - Chief Financial Officer & Executive Vice President: Thanks, John. Our fourth quarter diluted earnings per share were $0.46 when excluding certain charges of $73 million or $0.22 per diluted share incurred in the quarter. As we indicated last year, we took further restructuring actions in the fourth quarter. Included in our reported results, our pre-tax charges of $31 million for restructuring actions or $0.10 per diluted share. Also included in the quarterly results, our pre-tax inventory adjustments of $42 million due to the prolonged lower activity levels in North America. The inventory write-downs include a $36 million charge in our Surface Technologies segment. The remaining $6 million was recorded in our Energy Infrastructure segment. These inventory adjustments reduced our reported earnings by $0.12 per diluted share. We have provided a schedule in our press release issued last evening to show the quarterly and full-year impact of these costs incurred. Looking at the full year, we undertook a significant amount of restructuring in response to the decline in market activity in North America as well as the forecast reductions for 2016 in our Subsea business. The combined charges in 2015 for restructuring and other severance as well as impairments totaled $132 million before tax. In the Surface Technologies segment, we incurred $74 million of charges for restructuring our facilities, impairment of assets and head count reductions. We expect these actions to have benefit in 2016 as we operate on a lower cost base and in a lower rig count environment. In our Subsea Technologies segment, we incurred $50 million of charges primarily for head count reduction taken in the second half of the year. Activity levels remained strong in this segment through the first three quarters of 2015. Energy Infrastructure incurred $8 million for restructuring. This occurred mainly in the measurement solutions business where the low North American activity levels reduced market opportunities. Collectively, these actions will further strengthen our operating performance as we managed through the soft market conditions we expect will continue throughout 2016 both in North America as well as in our Subsea business. When adjusting for all structuring and impairment costs, including inventory write-downs of $49 million, full-year EPS was $2.27 for 2015. Moving to our operating segments. Subsea Technologies revenue in the quarter was $1 billion. Quarter-over-quarter revenue comparisons were negatively impacted by $134 million of foreign currency translation, lower Subsea Services activity, primarily intervention services, as well as lower project activity, contributed to the quarter-over-quarter result. Subsea Technologies operating profit was $132 million in the quarter, excluding restructuring and other severance and impairment charges of $25 million. Quarter-over-quarter profit comparisons were negatively impacted by $15 million of foreign currency translations due to the strong U.S. dollar. Operating margins in the quarter were 12.9%, excluding restructuring and other severance and impairment charges. Excluding all charges and the impact of foreign currency translation, operating profit was down approximately 29% quarter-over-quarter. The decline was driven primarily by the lower revenues, reduced well intervention activities in the North Sea and higher research and development expense due to the timing of expenditures. We experienced headwinds from the strengthening U.S. dollar throughout the year. For the full year, Subsea revenue included $540 million of unfavorable impact and operating profit included $77 million of unfavorable impact due to the strong U.S. dollar. Full-year Subsea margins, excluding restructuring and impairment charges, were 15.1%, consistent with our estimates throughout the year as our project execution continued to support solid operating margins. We began significant head count reductions in the second half of 2015 as project volumes began to weaken. We expect to take further actions in the first quarter of this year. These actions and continued strong operational performance will support us as our Subsea volumes decline from 2015 levels. Segment backlog exiting this quarter was $3.8 billion. This compares to prior-year backlog of $5.8 billion. Some of this backlog has a longer delivery horizon, and will be recognized over the next three years. Moving to our Surface Technologies results, Surface Technologies reported an operating loss for the fourth quarter of $7 million, including restructuring and other severance impairment charges of $3 million. When excluding the severance, restructuring and impairment charges, as well as the inventory adjustments, we posted operating profits of $32 million and an operating margin of 10.1% in the quarter. As was mentioned earlier, we had significant inventory adjustments that impacted our Surface Technologies segment. During the quarter, we took a write-down of $36 million for inventory. Most of the write-down was related to our North American businesses, where sharp activity declines drove significant reductions to future demand estimates for the region. However, the underlying results represent the continued decline in activity in our North American business. Operational profit performance was supported by the benefit of the restructuring efforts made throughout the year. In some international regions though, activity levels have proven to be more resilient. However, as we noted last quarter, our operating results now reflect pricing challenges across all major geographies, including our Surface Wellhead business outside North America. We have taken significant restructuring actions in our Surface Technologies business. These actions focused both on reducing our operating cost structure in North America and restructuring the business model to deliver an integrated product offering intended to bring greater value to our customers. On a full year basis, our operating margins were 11.8%, when excluding restructuring, impairment and inventory charges, reflecting the benefit of restructuring activities taken earlier in the year. While we expect the weak activity levels in North America to persist throughout 2016, these actions will further improve our operating competitiveness through our significant workforce reductions, and implementation of our integrated product offering. Segment backlog stands at $433 million. This continues to predominantly be reflective of our Surface Wellhead business outside of North America. Moving to Energy Infrastructure. Revenue for the fourth quarter was $96 million. The segment reported operating losses of $3 million, including $4 million of restructuring and other severance charges. Additionally, we incurred charges of $6 million in the quarter for the write-down of inventory of our measurement solutions business due to lack of demand from weak activity. Segment results continue to be negatively impacted by the sharp activity decline in the North America market. Let's turn to corporate items. Corporate expense in the quarter was $15 million. Other revenue and expense net reflects expense of $23 million. The majority of expense relates to foreign currency losses primarily associated with the currency devaluation of the Angolan Kwanza. Our fourth quarter tax rate was negative 8.7% due in part to a favorable shift in geographic earnings mix, and the reinstatement of a research and development tax credit enacted in late-December. Our full-year tax rate was 21.4%, due in part to the lower mix of earnings subject to U.S. tax. Capital spending this quarter was $40 million; this brings our spending in 2015 to $251 million. We generated solid cash flow from operations of $932 million. At the end of the fourth quarter, we had net debt of $240 million. It is comprised of $916 million of cash and $1.2 billion of debt. We averaged 230 million diluted shares outstanding in the quarter. We repurchased 1.3 million shares of stock during the fourth quarter at an average cost of $31.23 per share. For the full year, we repurchased a total of 5.3 million shares for a total cost of $190.4 million. Let me next discuss our outlook for 2016. We expect Energy Infrastructure revenue to be down by approximately 5% year-over-year. Revenues will continue to be negatively impacted by the weak North American market and our measurement solutions business. Therefore, we do not expect a recovery in this business this year. However, we do expect the benefits from prior-year restructuring to favorably impact segment profitability in 2016. We expect full-year margins in the high-single digits. Given the recent rig count decline, Surface Technologies revenue is now expected to be down 15% to 20% from 2015, due to uncertain North American market activity. We are not assuming a recovery from current rig count levels. Full-year operating margins are targeted at high-single digits excluding any restructuring charges that may be necessary. While we will benefit from the restructuring actions taken in 2015 and those forthcoming in 2016, pricing pressure in both our North America and international business provides significant headwinds at these activity levels. Subsea revenue for the full year in 2016 should be approximately $3.6 billion. We expect revenue from our Subsea backlog of approximately $2.2 billion. For our Subsea Services business, we expect revenues of approximately $1.3 billion, down modestly from 2015. Startups of certain services are expected in April of this year with lower utilization expected than prior years. Given the lower visibility for inbound as John has discussed, we are assuming a minimal amount of revenue from current year inbound. This would, therefore, be a source of upside to our 2016 revenues if inbound were stronger. We continue to expect Subsea margins in the range of 11% to 13% excluding any restructuring charges that are likely in 2016. Further cost reductions will help offset the expected revenue decline. When combined with continued strong execution on our backlog, we see the potential to deliver margin above the midpoint of the guidance range. I'll now provide you with guidance on our corporate items. In 2016, we expect corporate expense to be approximately $15 million to $16 million per quarter. We expect other revenue and expense to be an expense of approximately $13 million to $14 million per quarter with the potential for further foreign currency fluctuations. We expect our 2016 full-year tax rate to be between 23% and 25%. Our earnings subject to U.S. income tax are expected to be lower in 2016. We expect capital spending for the year of approximately $180 million. This represents a 28% reduction from 2015. This spending does not include any contingent capital that may be needed to respond to a contract award. We do anticipate further restructuring will be necessary as market activity provides better clarity on the impact on future periods. We will continue to provide guidance as we estimate the cost and benefits of these actions. Let me now close with the following comments. Given the latest move down in the U.S. rig count, our Surface Technologies segment performance has become more difficult to forecast. We are responding with additional head count reductions as well as further facility consolidations and closures. Our efforts in the last year to provide an integrated service offering should support our growth when this market recovers. In Subsea, we have a solid backlog to deliver the 2016 estimates provided albeit lower than in previous years, our head count reduction should partially offset the revenue decline forecast in 2016 and our project execution should allow us to deliver solid operating performance supporting operating margin guidance. As 2016 Subsea inbound develops, we are prepared to take further actions where needed. We are working to optimize our global footprint to deliver sustainable, superior performance now, and when the deepwater and North America markets recover. While managing the company through extreme market uncertainty present certain challenges, we remain focused on preserving and further developing our technical capabilities and customer relationships and maintaining our market leadership. Operator, you may now open up the call for questions.
Operator: Your first comes from the line of Bill Herbert from Simmons & Company. Your line is open.
William Andrew Herbert - Simmons & Company International: Thank you. Good morning. So Maryann, I was curious to start here. Thanks for the precise color here with regard to guidance on Subsea. You provided us revenue out of backlog guidance for 2016, and service revenue guidance. What were those in 2015? What was revenue out of that? What was the conversion ratio, and what was the service component in 2015?
Maryann Mannen - Chief Financial Officer & Executive Vice President: Yeah. Thanks, Bill. So our service number as I mentioned, services down just slightly. So our service inbound and service revenues are essentially the same. Our service revenue just approached about $1.5 billion. We had some small revenue recognition from what we call inbound, our book-and-turn, and the balance would've been from backlog. That backlog conversion ratio was about in the range of 60% for this year.
William Andrew Herbert - Simmons & Company International: Okay. And so we're implying with your guidance here that we're assuming something a little bit less than that for 2016 with regard to the backlog conversion ratio?
Maryann Mannen - Chief Financial Officer & Executive Vice President: That's correct.
William Andrew Herbert - Simmons & Company International: Okay. And then with regard to your margin guidance, walk us through what would be the drivers for the low end of that guidance and the high end of that guidance.
John T. Gremp - Chairman & Chief Executive Officer: Bill, this is John. So let's talk about where we last were. We had a Subsea margin for 2016 range of 11% to 13%. Previously, about four months ago on earnings call, I said there was a bias towards the high end.
William Andrew Herbert - Simmons & Company International: Yes.
John T. Gremp - Chairman & Chief Executive Officer: We believe that that margin range 11% to 13% is still valid but the bias towards the high end is not. Why? Because over the last four months, we've seen a deterioration, obviously, in oil prices in the market. It's going to, to some degree, affect revenue decline in 2016 more so than we saw four months ago, and despite, as Maryann mentioned, our efforts to restructure and reduce cost that's going to put some margin pressure. Further, as you know, the whole industry has been faced, over the last couple of months, of even more intense pricing pressure. And so the combination of those two things takes us all to that earlier comment about being in the high end of that 11% to 13% range.
Operator: Your next question comes from the line of Ole Slorer from Morgan Stanley. Your line is open.
Ole H. Slorer - Morgan Stanley & Co. LLC: Thank you, and thanks, John. With the 11% to 13% margin guidance, that is still a very robust performance compared to what some of your peers are achieving, and also pretty robust compared to some of your prior down cycles. So could you just give us a little bit more color on what makes you confident that you can handle this down cycle in this way?
John T. Gremp - Chairman & Chief Executive Officer: Thanks, Ole. Well, as you know, most of our revenue from our company comes from Subsea revenue and backlog. Those margins and our backlog are fairly robust and strong. You couple that with the execution improvements that we've made over the last year-and-a-half, and that holds up the margins. Now, Subsea Services will be a bigger – an important part of the revenue, and we're working hard to protect those margins. You add to that the cost reduction that we've been implementing really ahead of the downturn. I think that's kind of important. When you think about prior downturns, we had that big Subsea backlog. We may have been a little delayed in taking action. That's not the case this time. We're acting – I mean, you think about it, Subsea revenues in 2015 excluding the impact of foreign exchange we're only down 5% yet we have been taking restructuring actions well in advance of that activity downturn. So I think the cost reduction actions that we've taken quickly and aggressively, the quality of our margins and backlog for Subsea and our good work in holding up the Subsea Services activity is what's contributing to what you referred to, I think, as robust margins.
Ole H. Slorer - Morgan Stanley & Co. LLC: Yeah. And if you look a little bit further out than this year, what do you see? Clearly, nobody has a perfect vision of the future. Right here, it's pretty blurry. But assuming that this is a normal cycle where at some point back into this year orders start coming back again, the cost pressures you highlighted are real. Your mix is changing a little bit. Do you think you can manage through this entire cycle with the margins in double digits for this division?
John T. Gremp - Chairman & Chief Executive Officer: Well, that's certainly our intent, Ole. I mean, in my prepared remarks, you heard about the restructuring, the steps that we're taking to protect our customer relationships and our alliances. These are all intended to do that. But you're right. I mean, we're facing extraordinary unprecedented headwinds with this downturn in the industry. So it is hard to predict. Again, I refer to the pricing pressure that we're under, the project delays, the lower level of revenue. These all put pressure on margins, but we're taking a lot of action in a sustainable way to try to protect us.
Operator: Your next question comes from the line of Rob MacKenzie from IBERIA Capital. Your line is open.
Rob J. MacKenzie - IBERIA Capital Partners LLC: Thank you. A quick question for you guys. Coming back to the prepared comments, I think, John, you mentioned that operators were willing to adopt more vendor-based approach, and you highlighted some of the cost savings you guys have been able to achieve. At what point do you think the operators start looking at that and saying, you know what, now is a good time to commit for a multi-decade project versus just looking purely at more of a cash flow-based approach for these big operators?
John T. Gremp - Chairman & Chief Executive Officer: Rob, that's a good question. In today's environment, it's so hard to predict when that is because, as I said in my prepared remarks, this cycle is so different. In the past, capital budgets, although maybe reduced, were fixed. The emphasis was always on proving project economics. Once they were improved, met the hurdle rates, we had a pretty good chance on that project going forward. That's all changed now. Even though project economics have been improved – I was in Norway last week, and Statoil has made remarkable progress, in part through some of our help to reduce their breakeven on major projects from $70 a barrel to $40 a barrel. And there is a lot more that we can do, but even when you improve project economics, it doesn't mean a project will go ahead because of the restrictions on cash flow, which is driven by the current oil price. But you're right, at some point, as we continue to improve project economics, and cash flow, hopefully, will start to improve, that the operators will realize the importance of greenlighting some of these projects and taking the steps to develop these deepwater fields for the purpose of replacing production in future years. I think that we have to look at this cycle differently and we have to take into account the importance of cash flow as they approve those projects.
Rob J. MacKenzie - IBERIA Capital Partners LLC: Thanks. And my related follow-up is with the queue of development projects out there, how long can we have basically no exploration work and still support kind of current activity levels that you're guiding to in 2016, just off development projects?
John T. Gremp - Chairman & Chief Executive Officer: Yeah. I mean, that's a challenging question. I mean, there has been lots of reports and analysis that says that the severity of the capital reductions eventually leads to supply shortfalls. And that gap only grows and becomes more extreme as the capital spending reductions continue. So I think everybody is aware that that's the ramifications and implications of severe capital spending reductions. When that will occur, that's hard to say.
Operator: Your next question comes from the line of James West from Evercore ISI. Your line is open.
James C. West - Evercore ISI Group: Hey. Good morning, everyone.
John T. Gremp - Chairman & Chief Executive Officer: Good morning, James.
James C. West - Evercore ISI Group: John, can you remind us just briefly how much of your Subsea order inbounds are services, small projects and the mega projects, so we can have an understanding what the baseline could be for 2016.
John T. Gremp - Chairman & Chief Executive Officer: Fine. James, the service revenue last year was about, as Maryann pointed out, was just about $1.5 billion. Our run rate, even in the fourth quarter, generally supported that. So we're looking at Subsea Services for 2016 inbound somewhere $1.2 billion, $1.3 billion, $1.4 billion range. There'll be some slight headwinds, but generally we believe, as I said in my prepared remarks, for it to be resilient. The smaller projects, as we learned last year, are pretty lumpy. We had a really low level in the first quarter, fairly low level in the fourth quarter, but strong small project inbound in the second quarter and third quarter. Last year, it was just under about $0.5 billion. Obviously with the downturn in the industry, some of those are going to come under pressure. And as I said in my prepared remarks, hopefully, we'll be somewhere close to that, because those projects, the capital requirements are a bit less. They have shorter paybacks. They're in the Gulf of Mexico, typically, where we have a stronger position. So we think the smaller projects will be somewhere in that range, maybe a little bit less. It's the large projects that make up the difference. And those are where a lot of the uncertainty in the industry are today. And that was really the basis of my remarks. Absent a significant number of large projects being awarded in 2016, we can't hit or match the same Subsea inbound number that we had in 2015. So we'd expect a couple of those to be awarded, and we're well positioned. And that will be on top of the service and small project inbound orders that we're projecting for 2016.
Operator: Your next question comes from the line of Bill Sanchez from Howard Weil. Your line is open.
William Sanchez - Scotia Howard Weil: Thanks. Good morning.
John T. Gremp - Chairman & Chief Executive Officer: Good morning, Bill.
William Sanchez - Scotia Howard Weil: Maryann, could you help us a little bit with regard to Subsea Technology margins for 1Q? I know 4Q you guys had kind of had saw the early effects of lower well intervention in the North Sea. I'm hopeful then – is that mitigating some of the margin deterioration that we seasonally typically see at FMC 4Q to 1Q? What's your thoughts around margins for 1Q?
Maryann Mannen - Chief Financial Officer & Executive Vice President: Yeah. Sure, Bill. So you're right, as I mentioned on the call last time, the Light Well Intervention utilization did come down in October. And we expect that to continue through the first quarter. So that step down has largely happened. However, we are taking a volume decline, right, as you heard from my comments on the full year. We will take a step down in volume in Q1. I do expect to see a sequential decline 4-to-1 as we have previously with some similar characteristics in Q2 that'll likely be our strongest quarter. And then as we come down the volume curve three and four probably a little bit weaker. But yes, I do expect to see a sequential decline Q4 to Q1 again this year.
William Sanchez - Scotia Howard Weil: Just not the similar magnitude we've seen in past years?
Maryann Mannen - Chief Financial Officer & Executive Vice President: Yeah. That's correct, Bill.
William Sanchez - Scotia Howard Weil: Okay. John, I guess a question for you just as it relates to large projects. I was curious, you mentioned in your prepared comments the fact that on the Greater Western Flank that was an alliance partner, maybe you could help us, do you feel like you have better visibility in terms as you guys sit there and try to handicap what projects could get led and which may not this year? Do you get better reads on the guys or more conviction around potential alliance and other frame agreement customers in terms of better clarity on possible awards versus kind of the non-alliance clients?
John T. Gremp - Chairman & Chief Executive Officer: I'm going to make initial remarks, and then have Doug respond maybe with some specifics. Clearly, with an alliance partner, we have visibility at their entire portfolio. We're engaged constantly on these projects and how to make them economic. We have a much greater visibility on how those projects are going and where they are in the queue. But one of the things that makes it different in this cycle versus past cycles, even our alliance partners are uncertain about which projects are actually going to go forward and which ones aren't because they're unsure of their cash flow requirements which are – the cash flow generated because that's changing constantly as oil prices change. So I would say even though we have more visibility with alliance partners than non-alliance partners, even in that context, there's been more uncertainty and moving around in reprioritization of projects than what I've seen historically. But Doug has got some more specific experience on some projects and how they moved around. So I'd like him to comment. Doug?
Douglas J. Pferdehirt - President & Chief Operating Officer: Yeah, Bill. If you allow me to look at maybe the next 12 to 15 months versus the calendar year, it's a mix of partner and non-partner projects, but we're certainly targeting a group of projects. If we kind of look at it geographically starting in Africa particularly in East Africa as well as Angola, there is a series of projects that have been tendered, in some cases are being reworked, in other cases are being reviewed at this time. Moving on to Australia, again, some very strong partner accounts as well as the non-partner accounts in Australia and some activity that we could see coming out of that region as well. In the Gulf of Mexico, we've been tracking some large projects with partner accounts as well as – obviously, this is fertile ground for where our partnerships paid off in some of the smaller orders. And then finally in the North Sea, we announced recently the Johan Sverdrup award from Statoil. The Forsys Subsea put out the press release on Trestakk, so we're pretty excited about some of the activity that's going on in the North Sea with Statoil as well as other independent operators.
Operator: Your next question comes from the line of Jud Bailey from Wells Fargo. Your line is open.
Judson E. Bailey - Wells Fargo Securities LLC: Thanks. Good morning. I wanted to ask a question on the Surface guidance. Maryann, I think, you indicated your expectation was for revenue to be down about 15% to 20%. Just wanted to – if you could give us a little bit of color on kind of what your assumption is for maybe either U.S. rig count or U.S. spending to help us think about how to think about what your expectation is to get to that kind of revenue number, because it seems like most of the E&Ps that are announcing are suggesting spending down as much as 50% or 40%. So just wanted to get a little bit of a better understanding on what your – maybe what's implied in your guidance for Surface and what you assume for the U.S. market.
Maryann Mannen - Chief Financial Officer & Executive Vice President: Yes. Sure, Jud. So the last few months, as you know, rig count in North America has taken another leg down. We've taken a good look at that. We're assuming rig count kind of bounces around this level for the balance of the year, so somewhere in that range of about 500 rigs is where our assumptions lie for the balance of the year. And as I mentioned in my comments, we're not assuming that we see recovery throughout the year. Obviously, if that were to change, our forecast estimates would change. But again, we're assuming a fairly flat rig count kind of bouncing around that level throughout 2016.
Judson E. Bailey - Wells Fargo Securities LLC: Okay. Thank you for that. And then my follow-up is on just trying to think through some of the shifts in your work, in your projects for your Subsea business and maybe I'll use Greater Western Flank as an example. You're helping your customers get cost down, you're doing more standardization. You're helping them lower their costs. Can you help us think about the margin opportunity for FMC for some of these new orders relative to maybe where your backlog is. I understand, obviously, that's related on pricing. But it seems like you're using less engineering hours. So is there a way to think about how margins would be for some of these projects you're discussing now relative to what you reported in 2015 or what's in current backlog?
John T. Gremp - Chairman & Chief Executive Officer: Look. I mean, Jud, the bottom of every cycle, there has been pricing pressure that has been reflected in margins. We shouldn't expect this cycle to be any different. I think what we're trying to articulate is to improve project economics requires not incremental reductions in cost, but significant and sustainable reductions in cost, which is what we are focused on because it's the challenge for the entire industry. Even when oil prices were much differently than they are today was to improve economics. We know that improving execution on these major projects is critical to improving project economics. We know the industry has not adopted low-cost standards which now we see as an opportunity to push even harder and we see examples as I related on the Greater Western Flank for more standardization. We also believe that technology can contribute significantly to reducing cost and we're investing in that. And then finally, these new business models which, I think, is represented again by the Trestakk award and the willingness of a very progressive and successful company like Statoil, willing to consider and adopt an entirely different business model for the purpose of a step-change in project costs. Despite all that, we know that there will still be some pricing pressure that will find its way on margins. Every cycle has been that way. We want to mitigate that by improving our cost position and we think we can do that. Now, where that settles out? We're going to have to see. But I think if you just go by past cycles, there has been pressure on the margins that result to pricing, and we should assume that's going to be the case again.
Operator: The next question comes from the line of Scott Gruber from Citigroup. Your line is open.
Scott A. Gruber - Citigroup Global Markets, Inc. (Broker): Good morning.
John T. Gremp - Chairman & Chief Executive Officer: Good morning, Scott.
Scott A. Gruber - Citigroup Global Markets, Inc. (Broker): John or Maryann, your cash balance is now up over $900 million will likely be free cash flow positive this year. Is the current strategy to keep building that cash balance to start the year, is that time to take a look at accelerating the buyback?
Maryann Mannen - Chief Financial Officer & Executive Vice President: Yeah. Good morning. So yeah. Thank you. We've been working diligently to ensure that we have that. Share repurchase continues to be a viable strategy for us. And you could see we've repurchased in the fourth quarter. But in this environment, of course, we will be cautious. We will continue to evaluate market conditions, we'll continue to evaluate our cash flow and be sure that we are providing the optimal utilization at the greatest return we can and for the shareholders. But again, share repurchase will continue to be a viable strategy for us.
Scott A. Gruber - Citigroup Global Markets, Inc. (Broker): That makes sense. If there are some green shoots in the marketplace, would the first use of that cash be to accelerate the buyback? And if so, what markers are you looking for in the marketplace?
Maryann Mannen - Chief Financial Officer & Executive Vice President: Well, I think you know, I mean, certainly, we believe that this valuation, our stock is undervalued. We believe in the long-term opportunity set for deepwater. We are positioning our company, as you can hear from both John's comments, Doug's comments and mine as well, that we are positioning the company to be able to capitalize on the deepwater market and the North American market. So we obviously believe there are green shoots, and we will be sure that we have the capability and the liquidity and the capacity to be able to respond to those green shoots when we see them. Clearly, commodity price is one of them, our ability to achieve the cost reduction initiatives as you've heard both John and Doug talk about with respect to our business model changes both in Subsea and Surface. We'll clearly present those triggers, if you will, that you represent for us to respond. And we stand ready to be able to do that.
Operator: Your next question comes from the line of Kurt Hallead from RBC. Your line is open.
Kurt Hallead - RBC Capital Markets LLC: Hi. Good morning.
John T. Gremp - Chairman & Chief Executive Officer: Good morning, Kurt.
Kurt Hallead - RBC Capital Markets LLC: So yeah. I just want to come back around one more time just on the Subsea dynamic. You've given a lot of good color around that. I know there is a lot of uncertainty out there. But in the way that you're maybe thinking of the world for 2016, would a 30% to 50% reduction in Subsea orders and aggregate kind of fit within the way you're looking at the world?
John T. Gremp - Chairman & Chief Executive Officer: Yeah. I mean, Quest has new numbers. Everybody has new numbers. As I said, the issue is going to be around large projects. We don't see any mega projects on the horizon. So in the past, when you had a significant uptick in deepwater awards, it was usually because there were a couple of billion dollar projects that were awarded. Those aren't even on the radar screen. We have a list of projects that are being tracked. But the ability for those projects to get through the cash flow hurdles and make it into 2016 is limited. Some of them will be awarded, but probably not all of them. And that speaks to a pretty significant maybe reduction in Subsea awards, maybe in the order of magnitude that you described versus prior years.
Kurt Hallead - RBC Capital Markets LLC: Okay. That's good. That's all in my end. Thank you.
Operator: The next question comes from the line of David Anderson from Barclays. Your line is open.
J. David Anderson - Barclays Capital, Inc.: Yes. Just a question on the Surface business, decrementals were pretty good this quarter. Just kind of curious how much – can you just remind us how much of that business is international? And also, can you just let us know where you stand on the kind of de-layering and fallback integration you had talked about? I'm just trying to figure out how those two components worked within the decrementals and how much is left you think on that kind of de-layering side?
John T. Gremp - Chairman & Chief Executive Officer: So I'll let Doug take the question on the restructuring and de-layering and our progress on really streamlining and leaning out our organizational structure. Doug?
Douglas J. Pferdehirt - President & Chief Operating Officer: Hi. Yeah. So to say we're in the early innings of the process I think is fair. We've been fairly aggressive and got out in front in terms of the overall reductions. And I think that's what you're seeing in the decrementals, and will continue to do so. But I think there is a significant upside still to be realized in the value of our commercial offering in the Surface Integrated Solutions business that we've put together. It's a unique integrated offering that provides significant value to our customers. The adoption rate has been – we've been pleased with the adoption rate, but this is only a few months old. So we see even more upside from the adoption of the new commercial model. In terms of the head count reductions and the de-layering, that's something we got out in front of early, and we'll continue to stay in front of.
J. David Anderson - Barclays Capital, Inc.: So assuming the international activities' levels hold out like you had talked about in 2016, and with these other initiatives, you feel confident that you can keep the kind of decrementals in this territory through 2016?
Douglas J. Pferdehirt - President & Chief Operating Officer: Again, similar to how John answered the earlier question on Subsea, that is absolutely our intention.
Operator: Your next question comes from the line of Robin Shoemaker from KeyBanc Capital Markets. Your line is open.
Robin E. Shoemaker - KeyBanc Capital Markets, Inc.: Thank you. Maryann, I just wanted to clarify on – you previously talked about apart from revenue out of backlog, customer support and book-and-turn. We're talking about Subsea Services revenue where your guidance is. Does that include customer support, book-and-turn as you previously described it?
Maryann Mannen - Chief Financial Officer & Executive Vice President: Yeah. Let me try to be clear. We typically talk about three, if you will, revenue streams. One is obviously what comes from our backlog. The second being what we call Subsea Services. And again, just to reiterate, we do not backlog our Subsea Services. So our inbound and our revenue are typically very closely matched. We have a pretty small amount in backlog. And then the last would be our ability to recognize revenue from current inbound. We call that book-and-turn. So for 2016, what I have said is we're expecting very little of book-and-turn to be able to achieve our 2016 inbound, just simply because of the variability that's happening on that inbound number, as John mentioned. To the extent that that develops greater or more rapidly, then that could be an upside for us for 2016.
Robin E. Shoemaker - KeyBanc Capital Markets, Inc.: Okay. Thanks for clarifying that. My other question had to do with these very considerable cost savings restructuring steps you're taking that in response to the downturn especially in Subsea. In past peak cycles, we're kind of accustomed to seeing your margins in the 14%, 15% range. So I know that a lot of your cost cutting here will deliver some benefits in the next upturn. But I wonder if you have any kind of order of magnitude in terms of margin basis points from this current program of restructuring that you think can be sustained when the business cycle improves?
John T. Gremp - Chairman & Chief Executive Officer: Robin, we're actually very excited about our ability to restructure, particularly on the Subsea side, but also on the Surface side for that matter, to restructure our organization to deliver the same high level of execution that we've delivered over the last two years but doing in a much more efficient way and doing it in a way that's sustainable even when the market comes back. Now, to put a margin percent on that, I think as Doug pointed out, it's still early days. But we want to point out that a lot of the steps that we're taking are not just in response to lower activity, that they are in fact sustainable. But where does that come from? Over the course of the last three or four years, we've made significant progress in globalizing our manufacturing organization, creating global standards. Today, we make a subsea Christmas tree in many locations, but we make it the exact same way. That didn't exist five and ten years ago. So we're in a position now where through standard practices and processes we can level load throughout the world. We can reduce our facilities and our footprint, yet still keep our ability to execute at a high level. So that's an important example of how we're permanently reducing our costs. We've been able to delayer our organization. A lot of the layers in our organization quite frankly were there because of our struggles with execution, because of the rapid growth. Now that we have a more normal or expect a more normal growth cycle, and our execution has improved, we don't need the same level of structure. So as a result, we're confident that we can essentially lean out our organization in a way that is sustainable and permanent. Now, we haven't put a number on it because we want to be, to honest, Robin, we want to see it before we start putting a number on it. But we're very encouraged by the steps we're taking and the impact it will have on the long-term cost structure of our company, even in a market recovery.
Operator: Your next question comes from the line Waqar Syed from Goldman Sachs. Your line is open.
Waqar Syed - Goldman Sachs & Co.: Thank you for taking my question. John, you had mentioned Statoil being able to bring down the economics hurdle rate by about close to 40%. Now, as you look at your pipeline of projects that you're pursuing, where do you think the breakeven is? And I understand that you mentioned the issue is more cash flows than economics, but could you highlight what percentage of projects are in that $50 to $60 per barrel kind of hurdle rate?
John T. Gremp - Chairman & Chief Executive Officer: Well, every project is different. But some of the analysis has been done by us and others suggest that of the deepwater portfolio, if you can get a 25% to 30% reduction in the cost, something like 70% or so of those become economic. I'm sure that changes as the outlook for oil prices changes. But I think – I know – let's use the Statoil example, for example. In their Capital Markets presentation last week, they show where they have a $70 – the breakeven has been reduced, as you alluded, to $70 to $40 on Johan Sverdrup, which we were successful in working with Statoil on. We were able to reduce our cost of the Subsea equipment by something close to 40%. For Johan Kongsberg, Statoil has put a target out there for further double-digit reductions in cost. So I think the point we would want to make is that fairly quickly now, the economics are improving because of the step change in cost on these projects. And Statoil I think is a good example of not only the progress they made with Johan Sverdrup but the target they've put in place for further reduction. So I think when you get down to those levels, what Statoil did on Sverdrup and what they plan to do on Kongsberg, fairly significant number of deepwater projects become economic and breakeven.
Waqar Syed - Goldman Sachs & Co.: Great. Thank you very much.
Operator: And our final question comes from the line of Darren Gacicia from KLR Group. Your line is open.
Darren Gacicia - KLR Group LLC: Hey. Thanks for taking my question. I wanted to get into the new business model a little bit with some more granularity, specifically with what was just announced with Statoil. When you talk about new business model, what's kind of changing? What are the mechanics of that so we can really understand how your business is operating differently?
John T. Gremp - Chairman & Chief Executive Officer: I'm going to let Doug talk specifically about particularly the Trestakk project and how that model looks different.
Douglas J. Pferdehirt - President & Chief Operating Officer: Yeah, Darren. So again, we're taking an integrated approach where we're bringing together the capabilities of ourselves as an SPS provider as well as the leading SURF provider, Technip. So in the case of Trestakk, we were able to engage early in the process, work closely with Statoil to identify opportunities to simplify the field architecture and bring in some new technologies, although it's still early in terms of the integrated technology development. We were able to bring in some unique capabilities between ourselves and Technip to lower the cost and improve the overall project economics. On top of that, we take over the responsibility and the opportunity to do the joint planning, to work the schedule, to ensure deliverability, and to further improve the project economics. So again, it's a combination of simplifying the architecture. Well, first of all, early engagement – through early engagement being able to simplify the architecture, introduce new technologies and capabilities and then provide a full integrated solution, which allows the overall project economics to improve quite considerably.
Darren Gacicia - KLR Group LLC: So if you think about those components between the architecture, the technology and, let's call it, kind of the installation. If you think about the breakdown and maybe what drove like overall cost savings, how would you bucket that amongst those three things that you just mentioned?
Douglas J. Pferdehirt - President & Chief Operating Officer: Well, that's where the exciting opportunity lies because again, in the case of, let's call it, integrated technology or proprietary integrated technology, that's very much in the early days. So we think that's going to increasingly provide a much larger component of the overall cost savings. In this particular case, it was really the early engagement driving the simplified field architecture, and bringing together the unique capabilities of these two industry leaders. As we go forward, we would expect additional savings, and we would expect the shift between the buckets, if you will, to move more towards unique technologies, which will allow us – and it's not just an exchange of hardware. When we're looking at new technologies, we're looking through the joint venture and our alliance at focusing on things like installability, operability, serviceability over the life of the field. So it's looking at that four life of field cost and bringing together technology early in the process by that early engagement that's going to allow us to have even greater savings as we move forward.
Operator: At this time, I would like to turn the call back over now to Mr. Matthew Seinsheimer for any closing remarks.
Matthew Seinsheimer - Director Investor Relations: This concludes our fourth quarter conference call. A replay of our call will be available on our website beginning at approximately 2:00 PM Eastern Time today. We will conduct our first quarter 2016 conference call on April 27 at 9:00 AM Eastern Time. If you have any further questions, please feel free to contact me. Thank you for joining us. Operator, you may end the call.
Operator: This concludes today's conference call. You may now disconnect.